Operator: Welcome to the Liontown Resources FY '25 Results call. Following the formal presentation, there will be a Q&A session for investors, analysts and media. Participants can ask both text and live audio questions during today's call. [Operator Instructions] If you have any issues asking a question via the web, a backup phone line is available. Dial-in details can be found on the request to speak page or on the home screen under asking audio questions. To view documents relevant to today's meeting, including more detailed instructions on how to use the platform, select the Documents icon. A list of all available documents will appear. When selected, the document will open within the Lumi platform. You will still be able to listen to the meeting while viewing the documents. Text questions can be submitted at any time, and the audio queue is now open. I will now hand over to Mr. Tony Ottaviano, Managing Director and CEO of Liontown Resources.
Antonino Ottaviano: Thank you, Michelle, and welcome, everybody, to our full year financial results for financial year '25. With me today is our Chief Operating Officer, Ryan Hair. Welcome, Ryan. This is his first results presentation for Liontown. Secondly, there's our Chief Commercial Officer, Grant Donald; and also our Interim CFO, Graeme Pettit. '25 has been a milestone year for Liontown. Our first year of production at Kathleen Valley. Today, I'll take you through the performance for the year, our financial results, our sustainability achievements and importantly, how we are positioned for FY '27 -- '26 and beyond. So next slide, please, Michelle. It's the usual important information. Okay. So just a quick summary of where we stand at the moment. FY '25 has been a year of delivery. We've successfully constructed, commissioned and transitioned Kathleen Valley into production. We've generated nearly $300 million in revenue in our first year. Despite the tough market and therefore, the softer lithium prices, the impacts of a ramp-up, we still produced a positive underlying EBITDA of $55 million and held an operating cash flow at breakeven. This is a strong sign of the scale and quality of this asset. We've also strengthened the balance sheet with an equity raise completed after year-end, ensuring that we can see ourselves through this current price cycle and transition the underground in FY '26. Our sustainability foundations remain a key differentiator, a strong safety performance, 81% renewable power penetration, deeper partnerships with our Traditional Owners in the Tjiwarl. So we see ourselves looking forward in FY '26 and then beyond with a lower cost base and a platform for growth. Finally, with an asset such as Kathleen Valley, it presents a long-term value proposition with scale, quality and sustainability to endure the various price upticks as they go through the cycles. We continue to maintain our optionality should the cycles change to expand the asset. We can go to the next slide, please, Michelle. So FY '25, it's been a milestone year for us with strong financial outcomes. Firstly, our concentrate production, nearly 300,000 tonnes there of concentrate sales of 283,000 (sic) [ 283,443 ] tonnes, strong plant availability in a ramp-up year of 89%. And again, lithium recovery of 58%. But if you look at it as a tale of two halves, the second half, we averaged 60%. As I mentioned in my opening piece, our revenue nearly hit $300 million in this ramp-up year. And we finished the year with a strong cash balance of $156 million, which has been further strengthened by the capital raise and about 11,000 tonnes of salable concentrate on hand. Finally, our full -- second half unit operating cost of $800 (sic) [ $802 ] a tonne and our underlying EBITDA of $55 million. So if we go to the next slide, please, Michelle. I'll now turn the discussion over to our Interim CFO, Graeme Pettit, to take you through the financials.
Graeme Pettit: Thank you, Tony, and good morning to everybody on the call. Starting with revenue and despite a volatile price environment with spodumene prices down 24% in the June quarter, Liontown delivered the $298 million in revenue in our foundational year. The average realized price for the year was USD 673 per DMT, which translated to AUD 10.50 in dollar terms. As Tony mentioned, underlying EBITDA of $55 million demonstrates a positive operating leverage even in weak prices. Our statutory NLAT of $193 million was largely driven by noncash items, including the $81 million NRV write-down of OSP stockpiles and $159 million of depreciation, which includes open pit mine costs being depreciated over a short mine life. Operating cash flow was breakeven in our first year, which was a great achievement in the context of ramp-up and lower prices. At year-end, we held $156 million in cash, which has since been strengthened post year-end following our $372 million equity placement in August. Next slide, please. Turning now to the reconciliation of our earnings. We reported a statutory net loss of $193 million, as mentioned. As you can see on this bridge, the majority of that loss reflects noncash and ramp-up related items rather than the underlying operating performance of the business. Touching on some key items. Firstly, NRV. As flagged in the June quarter, where we provided a range of $75 million to $85 million, the write-down came in at $81 million. As a reminder, this is a noncash accounting adjustment and mainly related to OSP ore that is associated with the open pit mine, which is scheduled to end in December this year. Depreciation of $159 million, which was the depreciation of open pit mine assets over the short open pit life as well as half a year of depreciation of the processing plant and related assets. The depreciation of underground-related assets is expected to commence during the third quarter of this year. On that basis, for FY '26, we'd expect depreciation to remain at similar levels before moderating in FY '27 and beyond. Just a quick point to note on income tax. We expect to commence the recognition of deferred taxes during FY '26 with the commencement likely linked to the declaration of commercial production at the underground mine. Underlying EBITDA of $55 million reconciles to $1 million positive cash flow from operating activities and the key adjustments are related to working capital movements. Next slide, please. Turning now to cash flow. In our first year of operations, operating cash flow was breakeven, which is a solid result given the 2 headwinds we faced of lower lithium prices through the year and naturally higher costs associated with the ramp-up of an operation. On financing, we received strong support from our partners with $250 million convertible notes from LG Energy Solution and $15 million from the WA government for lithium industry support program. These inflows supported liquidity through our ramp-up. On the investment side, we spent $331 million of CapEx, the majority of which related to growth and commissioning at Kathleen Valley, completing the processing plant and advancing underground mine development. All up, we closed the year with a cash balance of $156 million at 30 June. And importantly, post year-end, that position has been fortified with $372 million gross proceeds from the August capital raise, giving a pro forma cash balance of $528 million. Next slide, please. The chart you see here demonstrates the changing composition and quantum of Liontown's CapEx spend. For FY '26, the CapEx spend reflects the continued investment in the underground mine, establishing life of mine infrastructure. We expect total CapEx to remain at similar levels for FY '27 before declining in future years. Next slide, please for the project capital is now complete. It's now complete? Yes, it's complete. Finally, turning to the balance sheet. At 30 June, cash increased to $156 million, up from $123 million in the prior year. Since year-end, that position has been strengthened, as mentioned before. Property, plant and equipment rose by $142 million, reflecting the completion and commissioning of the Kathleen Valley processing plant and the continued investment in the underground mine. Payables decreased to $88 million, down $40 million year-on-year, consistent with the completion of project construction. Borrowings increased to $831 million, which included the fully drawn forward facility and the USD 250 million LG convertible notes. The convertible notes are classified as a current liability because LG may elect to convert the debt into equity in the company at their option. The only time a cash payment can occur is at the maturity of the notes in July 2029. Next slide, please. I'll quickly step through our debt position. So we've deliberately structured our funding to be low-cost, covenant-light and flexible with strong support from our offtake partners. On the left, you can see gross debt position over the past 3 years with the increase in FY '25 driven by the USD 250 LG convertible notes. On the right, the maturity profile shows these facilities are spread out. The chart highlights the maturity timing of the LG convertible notes. In the event that the notes are not converted into equity, Liontown would need to repay or refinance the notes in July 2029. The gearing ratio at 30 June being total debt over total debt plus equity was 59%. The gearing ratio reduces to 47% on a pro forma basis if we consider the impact of the August capital raising. I'll now hand back over to Tony.
Antonino Ottaviano: So if we go to the next slide, please, Michelle. I think this is a reinstatement of our prior release around our capital allocation. As a business, we're very early in our maturity, but we're very strong in ensuring that we set the right foundations for how we manage our capital. And clearly, our most recent capital raise will be something we consider in the context of our capital allocation framework. So we're very alive with the requirements and making sure that the capital that we obtain is spent wisely and to the best value for our shareholders. So if we go to the next one, please. I'll now hand over to Ryan Hair.
Ryan Hair: So our updated resources and reserve statements show the strength of the Kathleen Valley ore body. Despite the depletion and use of more current assumptions, reserves have increased slightly while resources remain broadly stable. Notably, the first 5 years of the ore reserve align with the updated 5-year mine plan released in November 2024. Also worth noting is that the mining scheduled in FY '26 is predominantly in measured resource and proven ore reserve. So if we go to the next slide, please, Michelle. So talking around sustainability. First and foremost, safety remains our top priority. We closed FY '25 with a TRIFR of 7.39, which is an improvement on last year, but still an area we know we need to do more work on. Our focus is on continuing to strengthen our safety systems and reinforcing our safety culture with the goal of driving this rate down further. On sustainability, we've embedded ESG into the heart of our operations. During the year, we advanced our long-term water stewardship strategy, commenced electrification pilots across our fleet and maintained strict environmental compliance. Importantly, with 81% renewable energy penetration, we are setting a benchmark for decarbonized mining. This achievement was recognized externally with Liontown awarded Excellence in Renewable Energy and Mining at the 2025 Decarbonized Mine Awards. So when we talk about highlights, it's not just about tonnes and dollars. It's also about delivering safe, sustainable operations that underpin long-term value for all stakeholders. Thanks, Michelle. Next slide. So just to recap previous guidance, FY '26 is a transition year. The open pit finishes up in December, and we moved to 100% underground mining operation. The key thing I want to reiterate from the FY '26 guidance is our strategy in this current quarter. During the quarter, we have executed scheduled shutdowns at both the dry and wet plants, which facilitated several process improvement projects. At the same time, we continue to process directly from lower-grade OSP stockpiles in addition to the open pit and underground ore. That means the current September quarter is planned to have lower production, lower recoveries and higher cash outflow, all of which has been captured in our FY '26 guidance. If we go to the next slide. This chart tells the same story visually. In the first half, the blend is predominantly lower-grade OSP and open pit ore. By the end of Q2, open pit mining is complete. From Q3 onwards, the feed mix shifts decisively. That's when our larger stopes start coming online with stope sizes increasing from roughly 10,000 to 15,000 tonnes today to over 40,000 tonnes in the second half. Ongoing mine development and access to the thicker ore zones underpins the run rate lift from 1 million tonnes per annum to 1.5 million by the June quarter. Notably, as we transition to predominantly underground ore, we continue to target 70% lithia recovery in the plant. So half 1 is about managing through the stockpiles, scheduled shutdowns and completing the open pit. Half 2 is about scaling the underground and realizing the ongoing benefits of clean underground feed, higher grade, higher recovery and a clear runway to lower cost production. In FY '27, we expect to be running at 2.8 million tonnes per annum of underground ore, which shows the scale and productivity that's built into the design. So the message here is simple. FY '26 is a bridge year. We're absorbing the transition in the first half, delivering the step-up in the second half and setting the foundation for lower term -- so long-term lower cost production from FY'27.
Antonino Ottaviano: Thank you, Ryan. We'll now move over to the market outlook and Grant Donald will run us through that.
Grant Donald: Thanks, Tony. I think fundamentally, we come back to the demand of lithium being a very strong environment. We've seen continued growth on the EV side. You see -- compared to last year, we've seen an increase of about 2.7 million EVs sold. That strong growth is coming across not just China, but we're starting to see very good growth coming out of Europe and the rest of the world, which is growing at a rate which is catching North America in relevance. And look, I think this sets the scene for continued growth. Importantly, the second factor that has been a very robust driver of growth outside of the EV space has been battery energy storage. As we see more grid scale systems coming in for renewables, such as Kathleen Valley's own renewable side, there is significant demand coming from batteries to effectively move some of that renewable electricity into periods that can be more fully utilized. That is going to be an increasingly significant driver of lithium demand growth. And what the chart in the middle shows here that out of every 4 units of growth from here, 1 in every 4 will be for stationary storage, which is material. The energy storage systems grew 54% so far year-on-year this year. If we move to the next slide. Thanks. This is really trying to emphasize that it's been a bit of a roller coaster this year on pricing for lithium. And I would argue that this has been possible because the market is actually quite finely balanced. If you look at lithium inventories, particularly within carbonate, which is what people track in a number of days, we've really traded in a range-bound area for the entirety of this year between 40 and 45 days of inventories on hand. As the market grows, clearly, those inventories on a number of days declines. And we've actually just started to see again, in line with past seasonal -- seasonality, we've seen those inventories drop below that range bound area and below 40 days. That demonstrates, I think, to me that lithium is quite finely balanced, and that means that it's very open to sentiment and speculative activity changing the pricing quite dramatically, and we've seen that in -- particularly in the last few months as various rumors and headlines have heavily influenced pricing. So as we sit here today and look forward, I think we're relatively encouraged by the data that we see. We see strong demand both from EVs and from stationary storage. We see declining inventories in China that is clearly a good setup for stronger pricing as we look ahead. Tony?
Antonino Ottaviano: Thank you, Grant. So if we go to our final slide, Michelle, just to wrap things up. Again, FY '25 to summarize, has been about delivering today, but unlocking the full potential of Kathleen Valley into the future. Again, '25 was about delivery, successfully constructing, commissioning and transitioning Kathleen Valley into production. We had strong underlying EBITDA of $55 million. We've had a balance sheet, which we've improved as a result of the capital raise that we got ourselves in a very strong position to see through this cycle and build on this platform. And then finally, we're about long-term value. We've got an asset here that is scalable, it's high quality. We've built a foundation from which we can build. We've maintained optionality around our expansion options. So should the market change, we're in a position that we can capitalize on that improvement. And finally, we look as -- in accordance with our long-term strategy, we will look at opportunities to grow the business beyond just Kathleen Valley. So that brings our presentation to an end. I thank you, everyone, for listening. And now I'll open up for questions.
Operator: Thank you, Tony.
Antonino Ottaviano: And that's a great photo that shows one of our stopes. Thank you, Michelle.
Operator: [Operator Instructions] Our first question is a text question from James [ Ballantine ]. Could you please expand further on downstream plans and BHP rumors?
Antonino Ottaviano: Okay. Let's deal with the downstream first. As the listeners may be aware, we have very -- 2 strong partnerships with both Sumitomo and LG Energy Solutions around looking at our downstream strategy. At the moment, we are progressing those partnerships by looking at various options around where we could potentially locate a refinery, but more importantly the economics of refining. And we're closely monitoring that given the current market. In terms of rumors, I'd rather not speculate on rumors. So I'll leave it at that.
Operator: Our next question is a text question from [ Conrad Porter ], who asks, how does LTR see sodium battery technology growth impacting on demand?
Antonino Ottaviano: Thank you. Look, sodium ion batteries, we do not believe will be a significant player in the mobility thematic, primarily on 3 fronts. Firstly, the economics suggest that at the moment, you have lithium that is very, very competitive. Secondly, we do not believe they've got the performance that's required. They do have an advantage in colder climates. And they might have an advantage in smaller mobility, things like scooters and maybe motorcycles. But in the big end, I don't think they'll play a part. And the final piece is, if you believe in the circular economy, they don't recycle well. So on that basis, it's only CATL that actually are pushing sodium ion batteries. And when I look at CATL's future forecast, around the battery mix that they are planning to make, they don't feature prominently in their mix. Next question, Michelle.
Operator: Our next question is from Glyn Lawcock from Barrenjoey.
Antonino Ottaviano: We're here, Glyn. We're here. You're uncharacteristically sheepish. So...
Glyn Lawcock: Yes, no I'm here, Tony. Sorry, it's been -- I'm having technical issues on my end. So hopefully, you can hear me now?
Antonino Ottaviano: Yes, loud and clear.
Glyn Lawcock: Yes. Sorry about that. I had to dial in, so apologies. So Tony, I had a couple of quick questions, if I could. Just a very quick one. D&A guide for FY '26 because there's a lot of moving parts. And as you say, underground will probably become commercial towards the end of the calendar year. Is there anything you can do to help us with D&A for '26.
Antonino Ottaviano: Yes, I'll hand over to Graeme.
Graeme Pettit: So Glyn, I think I did mention the expectation is that FY '26 should be broadly in line with FY '25 from a depreciation perspective with the underground and open pit basically exchanging places through the year from a depreciation perspective.
Glyn Lawcock: And does it step up then in '27? Or should that then be a reasonable guide for midterm?
Antonino Ottaviano: We expect to moderate thereafter. So '25 and '26 will be higher than the long-term rate.
Graeme Pettit: Which is driven principally -- sorry Graeme here Glyn. Principally by the fact that open pit has a short life and had to be depreciated quickly.
Glyn Lawcock: Yes. Okay. And then you've given guidance for '26 in terms of sustaining CapEx of, I think, it's 45% to 55%. When the underground is fully developed and running towards the end of this year, so what do we think underground mine development is going to run at to keep going? And I assume as you get deeper and the ore body gets wider, that might come down over time. But any sense of what underground mine development is going to run at Graeme.
Graeme Pettit: So again, I think I mentioned that sort of '26 and '27 has the establishment of quite a bit of life of mine infrastructure for the underground mine. So we expect '26, '27 to be slightly higher and then a run rate from '28 onwards, somewhere in the order of $50 million to $70 million.
Operator: Thank you for no further questions.
Antonino Ottaviano: Okay. Well, thank you, Michelle, for moderating, and thank you, listeners, and for the questions. Bye-bye.
Operator: Thank you all. That's all the questions we have time for today. Please reach out to the Liontown team if you have any follow-up questions. We thank you all for your time, and have a great day. You may now log out.